Operator: Welcome to the Q1 2011 Teradata Earnings Call. My name is John, and I'll be your operator for today's call. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Mr. Gregg Swearingen. Mr. Swearingen, you may begin.
Gregg Swearingen: Good morning, and thanks for joining us for our 2011 first quarter earnings call. Mike Koehler, Teradata's CEO will begin today by summarizing Teradata's 2011 Q1 results. Steve Chapman, Teradata's Chief Financial Officer will then provide more details regarding our financial performance, as well as our increased guidance for 2011. Darryl McDonald, Teradata's Executive Vice President of Applications, Business Development and CMO is also in the room to answer questions. Our discussion today includes forecasts and other information that are considered forward-looking statements. While these statements reflect our current outlook, they are subject to a number of risks and uncertainties that could cause actual results to vary materially. These risk factors are described in Teradata's 10-K and other filings with the SEC. On today's call, we will also be discussing certain non-GAAP financial information, such as earnings per share excluding stock-based compensation expense, acquisition-related items, as well as free cash flow and constant-currency revenue comparisons. A reconciliation of our non-GAAP results to our reported GAAP results and other information concerning these measures is included in our earnings release and on the Investor page of Teradata's website at teradata.com. A replay of this conference call will also be available later on today on the website. Teradata assumes no obligation to update or revise the information included in this conference call, whether as a result of new information or future results. I'll now turn the call over to Mike.
Michael Koehler: Good morning, everyone, and thanks for joining us. Teradata got off to a good start in 2011, with Q1 revenue of $506 million, up 18% over Q1 of 2010. Non-GAAP operating income was up 27% over prior year and non-GAAP EPS of $0.48 was up 17%, despite a much higher effective tax rate. Our increased focus and investments in R&D, Consulting Services, partnerships and sales territories are helping Teradata to accelerate revenue growth and increase new account wins. New customer wins in the first quarter were the highest ever recorded during the past 10 years. In addition to the 4 key growth initiatives we have been executing the past 3 years, we have now added 2 strategic platforms for future growth with our recent acquisitions: Aster Data for unstructured big data and Aprimo for integrated marketing management and applications. Turning to the region results. The Americas revenue was up 22% over a strong Q1 in 2010, when revenues grew 23%. The Americas also had a record Q1 for data warehouse new customer wins. Wins included some of the largest companies in financial services, healthcare, retail and travel. United Airlines is replacing a large competitor's data warehouse with Teradata to improve real-time customer interactions and enhance revenue management. A leading healthcare solutions company is implementing Teradata to drive new insights, enhance collaboration and speed the exchange of critical patient information. Another great new customer win was one of the largest retailers in the U.S. We now have 8 of the top 10 global retailers relying on Teradata for operational and strategic insights. Retail was strong in the U.S. and also globally in the quarter. Other wins included one of the largest rental car companies, Blue Cross and Blue Shield of Minnesota and Royal Sun and Alliance Insurance (sic) [Royal & Sun Alliance Insurance] in Canada. The Americas also had a good quarter with Aprimo new customer wins, including AutoNation and Designer Shoe Warehouse, which is a Teradata customer and has purchased Aprimo's Marketing Studio On Demand to enhance marketing operations. Upgrade and expansion activities in the Americas were particularly strong in Q1. Wal-Mart, one of our longtime, valued customers is implementing their next-generation integrated data warehouse with Teradata. Wal-Mart is partnering with Teradata to strengthen its analytic capabilities and also help meet sustainability goals, with a 50% reduction in floor space and a 40% reduction in energy consumption from our latest data warehouse technology. Best Buy is upgrading their Teradata system to better measure store operations and profitability. More than 40,000 Best Buy users interact with their Teradata system, processing about 2 million queries everyday. In the government sector, the United States Postal Service added dual-active capability to its integrated Teradata warehouse for their mission-critical applications. And the U.S. Navy is expanding their Teradata environment to help provide integrated insights around aircraft maintenance, flight and usage information. Other expansions in the Americas included, Boeing, Discover, Ford and WellPoint in the U.S. and BBVA [Banco Bilbao Vizcaya Argentaria] Bancover over in Mexico. The Europe, Middle East and Africa region also had a good Q1, with revenue growing 18% over prior year to $125 million and up 15% in constant currency. Several new customer wins were in the financial services industry including PKO, the largest retail bank in Poland, which was a new customer win for both Teradata and Aprimo. PKO will be deploying our multi-channel campaign management application to help analyze consumer preferences and channel usage, enabling the bank to deliver highly personalized marketing offers and increase cross-sell revenues. Another win was at one of the largest banks in Eastern Europe, which installed Teradata to consolidate numerous competitive data marks. This will provide the bank better insights and provide a more cost-effective BI environment that will scale to address their future requirements. And at Lloyds, we had an Aprimo new customer win. Lloyds is one of Teradata's large financial services customers and will use the Aprimo marketing suite to coordinate and automate marketing operations. In EMEA and also on a global basis, we are experiencing good growth and financial services as marketing, compliance, risk and customer initiatives continue to fuel demand for Teradata. Expansions and upgrades in EMEA included DHL, which is integrating country-level data marts in to its growing integrated data warehouse, providing more accurate and up-to-date cost and profitability information. One of the largest automobile manufacturers replaced several data marts with Teradata to improve performance, reduce costs, while increasing overall IT efficiency. In the past year, they have consolidated marketing, sales, services and procurement data, and data marts. And going forward, they will be expanding into the quality and warranty areas. Migros Turk, the largest retailer in Turkey, is upgrading their Teradata system to measure store profitability and more effectively adjust cost structures. Migros additionally uses Teradata for customer marketing. Other expansions and upgrades in EMEA included: Air France, Barclays, Belgacom, Nordia Group and Telenor. Turning to Asia Pacific and Japan. Revenue of $74 million in Q1 was up 4% over prior year and down 3% in constant currency. Within the region, we saw growth in the Greater China area, Korea and Japan. Concerning the earthquake in Japan, we would first like to express our sympathy to the people of Japan and our deep admiration of how they are dealing with the disaster. I would also like to recognize the outstanding work and commitment put forth by the Teradata team in Japan, supporting both our customers and our employees. We did not experience any material impact to our business in the quarter. But it's a little too early to tell if there could be an impact longer-term. New customer wins in APJ included: U Co-op Federation, Japan's second largest retail consumer cooperative, which is integrating customer information across the enterprise and improving its analytics for better customer service and profit; PT Bank Chinatrust in Indonesia and also a leading bank in Hong Kong. We also saw some key communication industry expansions in the quarter. KDDI, which is Japan's second largest telecommunications company and became a Teradata EDW customer 2 years ago, is now adding a Teradata Extreme Data Appliance to execute new and complex analytics, along with SAS on their Hadoop weblog data from mobile devices. This will enable KDDI to track and predict customer behaviors and improve their service. And at SmarTone Mobile Communications, Hong Kong's leading mobile operator, they expanded their EDW as a result of the increases in customer usage of mobile computing devices and to support their objective of providing the best network service. Other upgrades included Chinatrust Commercial Bank, Coca-Cola West Japan, Commonwealth Bank of Australia, 7card service, Shanghai Stock Exchange and Westbank Bank. Looking to the future, the explosion of data will continue. IDC says this explosive growth means that by 2020, our digital universe will be 44x as big as it was in 2009. Whether data grows by 44x or 22x by 2020, it's a lot of data that corporations will need to manage and extract value from. We now have 13 customers that are members of the Teradata Petabyte Club, and we closed another order in Q1 for an Extreme Data Appliance that is several petabytes alone. The number of companies with petabyte data warehouses will continue to grow. And the new data types from sources such as social media, web interactions, mobile and sensors will provide the ability for corporations to innovate and compete with new analytics. This in turn will drive more usage and users onto the integrated data warehouses like never seen before and require data warehouse providers to be able to manage extreme scale and complexity. This is what Teradata does so well today, and with the acquisition of Aster Data, we will be enhancing our customer's ability to do analytics with unstructured big data. We also just released the 6680 active data warehouse, which is a game changer in being able to effectively deal with big data in an integrated data warehouse environment. This industry-first hybrid data warehouse allows customers to mix and match extreme performance, high-cost storage media, like solid state flash drive, with lower performance, lower cost storage options, like tradition hard disk drives. And our industry-first, Teradata Virtual Storage software automates the placement of data on the different storage devices based on its usage. Data usage can shift from hot to warm to cold and back again, based on age, users and applications changing dynamically. Teradata will make it possible for our customers to meet the challenge of managing the data explosion and extracting value from it, with the most cost-efficient and optimized data warehouse environments in the industry. Moving on to Aprimo. The acquisition has made Teradata a leader now in integrated marketing management. Marketing presents a great opportunity to grow revenues with Aprimo's suite of marketing applications. But in addition, Aprimo serves as a foundation to build out more applications and to leverage their Software as a Service and Cloud capabilities more broadly, longer term. The integration is well underway, and we have already merged our existing Teradata applications into Aprimo. Overall sales activity is up, and we have had good activity in our Teradata user base, including wins in the first quarter. Regarding our initiatives to broaden Teradata's market reach, we continue to hire and ramp up our Consulting Services business. Revenues grew 18% in Q1. And our Managed Services growth was particularly strong, as more customers look to Teradata's deep experience to manage their BI environments. Our partnerships continue to progress. SAS and Teradata recently announced the SAS High-Performance Analytics on Teradata. In addition, we continue to leverage our joint product advisory team that has been established to provide input for future Teradata SAS offerings. With SAP, we continue to progress towards general availability of SAP BW on Teradata. We currently have 2 customers in ramp-up for early deployment and several more customers who are waiting for GCA and are enthusiastic about the performance and value SAP BW on Teradata will bring them. We continue to add sales territories and plan to exit the year with at least 505 or up 30 at a minimum from 2010. We added a team last year in the U.S. to cover customers outside of the Global 3000 and have had very good success. Numerous new accounts have been won, momentum is building and we're adding more headcount in 2011. And last, our platform family appliances pipeline and revenue continues to grow at a rapid pace, and it is contributing to our increase in new customer wins. In Q1, our 2000-class Data Warehouse Appliance revenue accounted for slightly above 10% of our product revenue, and it's on a trajectory that could approach the mid-teens, longer term. In closing, we are increasing our 2011 full year revenue guidance to 14% to 16% growth, and we're increasing our non-GAAP EPS guidance range to $2.13 to $2.23. Included in the revenue guidance is 4 points of benefit from currency. Steve Scheppmann will now provide more details on our first quarter results and on our full year guidance. Steve?
Stephen Scheppmann: Thanks, Mike, and thanks for joining us this morning. We had another strong quarter in Q1 driving revenue growth of 18% that yield growth in non-GAAP earnings per share of 17%. Product revenue of $235 million improved 18% from the first quarter of 2010 and increased 16% in constant currency. Services revenue of $271 million grew 18% and was up 16% in constant currency. Within our services revenue, Consulting Services increased 24% and maintenance services improved 13% in the quarter. Before I get into more of the operational details, let me discuss the special items we incurred in the first quarter of 2011. As I mentioned last quarter, we were required to make purchase at cap price, accounting adjustments associated with Aprimo's deferred revenue on our opening balance sheet. These adjustments will negatively impact our operating results on a comparative pro forma basis. Under U.S. GAAP, we were required to reduce Aprimo's deferred revenue and related activity by approximately $7 million or $0.02 per share. This adjustment had a rippling effect throughout our income statement, negatively impacting GAAP operating margins and EPS. Transaction, integration and reorganization cost of approximately $7 million or $0.03 per share, amortization of acquisition-related intangibles of approximately $3 million or $0.01 per share, and finally, non-cash stock-based compensation expense of approximately $9 million or $0.04 per share. Given that these special items impact several line items throughout our income statement and to limit my commentary and leave more time for Q&A, my discussion, unless highlighted differently, will focus on the relevant income statement line items on the non-GAAP basis, excluding the impact of the before-mentioned special items. For further transparency, we have added a GAAP to non-GAAP reconciliation schedule to our earnings release format. This schedule, which has been posted to our website in the past, is now included as Schedule E of our earnings release. We also included tables reconciling EPS on a GAAP basis to a non-GAAP basis for special items in the footnotes of our earnings release. We provide this non-GAAP information because we use this information internally to manage the business, and this basis of presentation provides a more comparable analysis when analyzing our performance against our peers. Moving to our operating results. Gross margin in the first quarter of 2011 was 55.7% compared to 55.2% in the first quarter of 2010. The improvement in gross margin from the year-ago period resulted from our improvement in our product gross margin. Product gross margin in the first quarter was 67.6%, up 360 basis points from 64% in the first quarter of 2010. The improvement was primarily due to a more favorable mix of transactions in the Americas and the EMEA regions as compared to the first quarter of 2010. Consistent with other aspects of Teradata's business, including revenue and margins, our product gross margin can be very inconsistent quarter-by-quarter, driven primarily by product or deal mix. For example, in Q2 2011, may be a great example of this variability. As Mike mentioned, we are seeing good activity for our Extreme big data appliance or our 1000 series, and anticipate a large 1000 series transaction in Q2. This activity is correspondingly included in our full-year revenue guidance for 2011. It's great to see the demand for our big data appliance, which is incremental activity to our core EDW business. However, as we have said before, the product gross margins on these 1000 series appliances, driven by the higher storage component, are meaningfully lower than our product gross margins generated by our core EDW or even our 2000 series appliance. As a result, significant revenue from this type of sale would lower our product gross margin. But as we've said in the past, to counteract the possible fluctuations on our quarterly performance, you should analyze this on a comparable 4- to 6-quarter basis to smooth out the inherent quarterly operational variations in our business model. Services gross margin, on the other hand, in the quarter declined 260 basis points to 45% versus a very strong 47.6% in Q1 of 2010. Margin improvement in our Maintenance business was not significant enough to offset the margin headwind on overall services gross margin, created from the adding of incremental consulting resources to meet the anticipated increase demands for our Consulting Services. Our Consulting Services business has been expanding its headcount in response to growing business opportunities, which initially can have a negative impact on margins, particularly while new consultants are being trained and are not fully productive. During their 6- to 9-month ramp-up stage, these new resources do not generate revenue, so investing in additional consulting resources create a short-term headwind over all services margin. Moving through a brief geographical view of gross margin on a GAAP basis. In the Americas region, gross margin was 57%, a decrease from the 57.9% in the first quarter of 2010. The decrease was from lower services gross margin. Gross margin for the EMEA region in the first quarter was 56%, a nice improvement from the 53.8% in the first quarter of 2010, benefiting from favorable deal mix versus the prior year period, which offset lower services margins. Gross margin in APJ for the first quarter was 40.5% versus 46.5% in Q1 2010. The decline was due to the timing of product revenue versus services revenue, which is not uncommon for Teradata and the impact is amplified in our smallest region. Turning to our operating expense structure. SG&A expense in Q1 2011 was $136 million, an increase from the $115 million in Q1 last year. The increase was primarily driven by the addition of SG&A from Aprimo, higher selling expense from the increased number of sales territories, as well as higher commissions related to the higher revenue. As we discussed in previous quarters, we expected the continued increase in our selling expense in 2011, as we continue to add more sales territories to reach more new customers. R&D in the quarter was $33 million versus $31 million in the first quarter of 2010. The increase included the addition of Aprimo's R&D expense. I would like to remind everyone that we invest in more in our R&D activity than what is reported on the R&D expense line item on our income statement. To see our total R&D spend or investment, you need to add the R&D expense and the amount we capitalized, which is included in the line item Additions to Capitalized Software on the statement of cash flows. In Q1, the total was approximately $52 million compared to approximately $46 million in Q1 2010 or a 13% increase. And as you may recall, we then amortized the capitalized software cost over time back through the income statement, which hits the cost of product revenue and impacts our product margin. For the full year 2011 on a GAAP basis, we expect approximately $165 million to $170 million of R&D expense, including Aprimo and Aster Data R&D. Teradata's operating margin on a non-GAAP basis in the first quarter was 22.7% in Q1 2011 versus 21.2% in Q1 2010, as our non-GAAP operating income increased 27% year-over-year. Our non-GAAP effective tax rate in Q1 2011 was 29%, up from the 23% effective tax rate in the first quarter of 2010. The tax rate in the first quarter of 2010 benefited from the recognition of a $5 million foreign net operating loss carry-forward. To summarize it all up here, for the quarter, excluding special items, non-GAAP EPS was $0.48 in Q1 2011 compared to $0.41 in Q1 2010, a 17% increase despite a 26% increase in our non-GAAP tax rate. We expect our non-GAAP tax rate for the full year to approximate 28%. Our non-GAAP tax rate is a little higher than our GAAP rate due to the majority of the non-GAAP adjustments residing in the U.S. Turning to the cash flow. Net cash provided by operating activities was $106 million in Q1 2011, down from the $138 million generated in the first quarter of 2010. The decrease in cash from operating activities was due in part to the increase in the receivables balance due to the significantly higher revenues in Q1 2011, as well as the timing of cash collections of receivables, sequentially and year-over-year. Recall, that we had a strong free cash flow quarter in Q4 2010 due in part to the favorable timing of collections, which in turn then added corresponding negative impact on free cash flow on Q1 2011. I point this out because this is yet another example, of how it is common for the impact of AR to move up and down for Teradata from a quarter-to-quarter basis, due to the size and timing of transactions, particularly quarterly. To further highlight the timing of receivables collections, we've collected approximately $249 million of cash from receivables in April of 2011 compared to $148 million for the same period last year. With respect to our accounts receivable, DSO was 85 days as of March 31, 2011, compared to 76 days as of December 31, 2010. The incremental cash collections I previously described in April, would have reduced the DSO by 14 days as of March 31, 2011. After $27 million of capital expenditures, which include additions of capitalized software, development costs and expenditures for property equipment versus $21 million in the first quarter of 2010, we generated $79 million of free cash flow compared to $117 million of free cash flow generated in Q1 2010. I'd like to remind everyone that we are now including Aprimo in our cash flow statement, which increases working capital line items, such as accounts receivables, beyond Teradata's historical trend levels. Even though free cash flow was lower in the first quarter versus the prior year, free cash flow was still 120% of net income, which is in line with our expectations that on an annual basis, our free cash flow should approximate our net income plus or minus $25 million to $35 million each year. However, as I mentioned before, this relationship can fluctuate quarter-to-quarter. As a reminder, Teradata defines free cash flow as cash flow from operating activities less the capital expenditure for property and equipment and additions to capitalized software. Turning to the balance sheet. We have $778 million of cash as of March 31, 2011, a $105 million decrease from the end of the fourth quarter due to the funding of the Aprimo acquisition. We closed the Aprimo transaction during the quarter, and we used the entirety of our preexisting $300 million revolving credit facility, as well as approximately $225 million or $200 million net of cash on Aprimo's balance sheet, of our U.S. cash to fund the purchase price. Additionally, we closed the Aster Data acquisition on April 5, and funded that transaction with the new $300 million term loan. Since the transaction was completed after the end of the quarter, our March 31 balance sheet does not reflect Aster acquisition or funding of the acquisition. Furthermore, due to our receiving a significant amount of cash from accounts receivable collections immediately after March 31, we subsequently used those funds to primarily pay down our $300 million credit facility by $280 million, leaving a current remaining outstanding balance of $20 million on the revolving credit line. The net effect of all these "post-quarter-end items" is as of April 29, we hade approximately $600 million of cash, approximately $100 million of cash in the U.S. and $500 million offshore with $300 million of total debt, $300 million on the new term loan $20 million on the revolving credit facility. As a result of our acquisitions, we did not repurchase any shares in the quarter. As we've said before, we expected the rate of our buyback will continue to fluctuate each quarter, taking into account among the other things, our working capital needs, our stock price, alternative uses of cash, U.S. cash balance, and economic and market conditions. That said, we do anticipate buying back stock in 2011. We have approximately $161 million of board authorization remaining for our open market share repurchases. To provide further transparency around currency movement and the potential impact on our 2011 revenue, we provide a schedule on our website, detailing out how currencies have moved since the respective periods in 2010, to indicate how this movement is expected to impact our year-over-year revenue comparisons in 2011. Assuming the currency exchange rates, as of the end of April, and assuming currency rates do not change throughout the remainder of the 2011, we expect currency to provide an approximate 4 points of benefit for us in 2011, with an approximate 6-point benefit in Q2, based on the exchange rate as of the end of April. Turning to full-year guidance. After another solid quarter in Q1, and we are looking at a healthy pipeline for Q2, so we expect to get off to another good start in the first half of 2011. However, at this time in our year, based on how our operational model works, it's hard for us to have the same level of predictability to accurately forecast revenue growth in the second half of the year. Turning to our EPS guidance. We expect to see a continuation of what we saw in Q1. Higher selling expense due to increased compensation, presales and other related costs associated with the new territories we added in 2010, and those we expect to add in 2011. We expect services margins to improve sequentially from Q1, as we begin to absorb the cost of the additional consulting resources. And we continue to expect higher R&D investments versus 2010. Incorporating these factors into our EPS guidance, we expect GAAP EPS of $1.76 to $1.86. However, this is based on and includes the following assumptions: First, approximately $33 million or $0.12 a share of stock-based compensation expense, $9 million in Q1 and $8 million per quarter for Q2 through Q4. Second, approximately $16 million or $0.06 a share of estimated purchase accounting adjustments related to the Aprimo transaction. Third, approximately $24 million or $0.09 a share of amortization of acquisition-related intangible assets. Fourth, transaction-, integration-, reorganization-related costs of approximately $28 million or $0.10 a share; and finally, based on a weighted average share outstanding assumption, of an estimative of 172 million shares. Based on these assumptions and exclusions, we expect our increased expectations for revenue growth and EPS to more than offset the previously discussed $0.03 dilution associated with the Aster Data transaction. And as a result, we are increasing our non-GAAP EPS guidance to $2.13 to $2.23 per share for 2011. We're off to another good start in 2011, and we look forward to the remainder of the year. We're also looking forward to completing the integration of the Aprimo and Aster Data businesses into Teradata, and increasing our addressable market reach into these 2 new exciting market opportunities. And with that, operator, we're ready to take questions.
Operator: [Operator Instructions] And our first question comes from Wamsi Mohan from Bank of America.
Wamsi Mohan - BofA Merrill Lynch: Can you help us understand of the $506 million in GAAP revenue, how much of that was from Aprimo in calendar 1Q?
Stephen Scheppmann: Wamsi, yes, what you'll see in the Aprimo transaction is revenue for 2 months because of the close was late January and it approximates $10 million on a GAAP basis. Now if you remember, we had the non-GAAP adjustment, and so in total, what you'll see on the GAAP financial statement is approximately $10 million for those 2 months.
Wamsi Mohan - BofA Merrill Lynch: Okay, great, thanks. So that would suggest about 15% growth, x M&A, including FX, and 13% organic, so it's fair to say that your organic growth is continuing to accelerate here?
Stephen Scheppmann: We had a very positive and strong first quarter organically, yes.
Wamsi Mohan - BofA Merrill Lynch: Okay, thank you. And your product margin also expanded in the quarter, and Steve, I think you alluded to the fact that 10% of revenues were still from appliances. Does that suggest that the mix of appliances were skewed towards smaller-size? And can you comment on how material appliance sales were to the middle market?
Stephen Scheppmann: The appliance sales, Wamsi, from an overall perspective, we're slightly above low-teens growth on the appliances in Q1. Nothing that was unusual that we saw in the pipeline. The margin dynamics, against, stayed pretty consistent than what we've seen, so there wasn't really anything unusual in the product margin. It's very typical on Teradata from that product margin performance. With respect to what I've seen of it going forward, I commented on the large Extreme Data Appliance possibly in Q2. But again, I don't see anything unusual in the appliance margins in Q1. And I don't think -- I think it was -- we've said in the past that our average ticket on the appliances was about $500,000 with margin dynamics are lower than the EDW on the 2000 series. But again, nothing was unusual in that performance in Q1.
Michael Koehler: The product margins were basically in-line with what we saw for 2010, when you look at the whole year. And Q1 of last year, we had a lumpiness downwards in product margin.
Operator: Our next question comes from Katy Huberty from Morgan Stanley.
Katy Huberty - Morgan Stanley: I have a couple of questions on the quarter, but I first want to ask one on your go-to-market strategy. We've started to hear from value-added resellers that analytics is now a driver of their business with lower-priced appliances. What, if any, plans do you have to work more closely with channel partners to complement the direct sales strategy?
Michael Koehler: Katy, this is Mike. We've been working with SIs and other channels for the past several years. We work with the global SIs, as well as local SIs in various countries and geographies around the world. A lot of it is a sell-with model because of the depth of our Consulting Services organizations. But we've had good success, generally speaking, around the world.
Katy Huberty - Morgan Stanley: Is it fair to say there's more interest from those partners? Or would you characterize it as similar to the past few years?
Michael Koehler: Overall, I would say it's somewhat similar.
Katy Huberty - Morgan Stanley: Okay. And then on the quarter, there was a huge jump in deferred revenue, both sequentially and year-on-year in the March quarter, can you just talk about whether you view that as an forward indicator of a strong revenue growth? Or were there some drivers of lumpiness in margins?
Stephen Scheppmann: Yes, Katy, the biggest driver was the addition of the Aprimo transaction. Even though we had a purchase price accounting adjustment to write down the deferred revenue, there was still a significant amount of deferred revenue, that did in fact we were able to retain in our balance sheet. In addition, the total of what I've usually shared is -- subs and maintenance still represent greater than 70% of that deferred revenue balance, so nothing unusual. And some of it -- we continue to have maintenance growth from the strong product growth last year flowing through. So again, the biggest indicator is the Aprimo transaction. Overall, I'm still plus -- in excess of 70% on maintenance and subs in that deferred revenue balance, so nothing really unusual other than the maintenance growth that we had off the product revenue growth from last year.
Katy Huberty - Morgan Stanley: Okay. And then lastly, the increased revenue guidance appears to be entirely currency driven, the 4-point versus expectation of a 2-point benefit previously. And that's best despite the first quarter beat and the strong uptake of the 1000 series appliance that you discussed. How should we read into that as it relates to your view of the pipeline for the remainder of the year?
Michael Koehler: When we look at the pipeline, Katy, where we sit right now, we feel good about being at the higher end of the revenue guidance for the first half. And currently, what we've modeled in for the second half is more towards the lower end of the guidance range. It's not being driven by anything other than, we've got a very good handle on the services part of our business. And on the product side, as you know, we operate with not a lot of backlog. And given that, we've taken a more conservative view of probably -- of somewhere around double-digits on the product revenue growth as we get into the second half.
Katy Huberty - Morgan Stanley: Okay. And so it's fair to say that the pipeline remains strong. The only issue is visibility and on timing of closing. And as you see that visibility you'll reflect as the guidance as we go through the year?
Michael Koehler: Correct. Pipeline remains strong across the entire platform family, so from EDW to the 2000 to the 1000 -- and that's correct.
Operator: Our next question comes from Nabil Elsheshai from Pacific Crest.
Nabil Elsheshai - Pacific Crest Securities, Inc.: A couple of things, one, you've mentioned and highlighted the partnership with SAP, a couple initial customers and several more in the pipeline. I was wondering if you could talk about the characteristics of those deals and those opportunities. Are they typical of traditional EDW-type of deals? Are they larger, smaller? What do they look like?
Darryl McDonald: I think, Nabil, this is Darryl, I think it’s 2 looks. One, is it is where Teradata -- a couple of the accounts is where Teradata has an EDW and they want to take advantage of putting BW on there with the other non-SAP data. We are also seeing in some of the new accounts that we're landing -- that our SAP companies -- customers and they may be upgrading to the new suite. They're looking to implement this as a new footprint. Again, the value they see in BW on Teradata is one, it increased performance, and then two, the ability to integrate the non-SAP data with the SAP data for more insight on their analytics.
Nabil Elsheshai - Pacific Crest Securities, Inc.: Okay. And then switching gears, you guys had a good consulting quarter and you've been hiring aggressively -- any color on what type of growth rate you think, I mean we've talked in the past about how that correlates with product growth, but do you see that accelerating to keep up with product growth? Or does it continue to lag in that area?
Michael Koehler: The correlation with product growth isn't clear. Separate of the product growth, Nabil, we are seeing very good demand for Consulting Services. We're also driving demand for Consulting Services. And we've increased the number of our offers over the past couple years in the area of BI Consulting, as well as Managed Services. And basically, the demand to have better data architectures, better environments for the data, the demand is very strong. And we did that have an excellent quarter in terms of Consulting Services’ revenue growth. We're continuing to hire and ramp, and we do have the opportunity in the Consulting Services to do a mid-double-digits-type of growth in 2011.
Nabil Elsheshai - Pacific Crest Securities, Inc.: And then last one on – you guys did your annual product refresh but you changed the product number so that seemed to indicate that what you guys consider a fairly major refresh of the flagship EDW products. So number one, is it possible that, that could drive a stronger than normal upgrade cycle? And two, what kind of interest are you getting from the SSD version of the next 2000 series?
Michael Koehler: The product you're referring to, Nabil, is the 6680 that we just released 2 or 3 weeks ago. And the reaction in the market, quite frankly, has been overwhelming. It's a game changer. It not only utilizes different storage devices, but it automatically places data based on its usage between hot, warm and cold storage media. And then -- and the key is it does it automatically, because the usage of data varies depending on who the users are, what applications it is and everything else. And to get the maximum performance out of an integrated data warehouse environment, you want to have as much solid-state-type of technology in play as possible, but it's very expensive. And you want to mix that with less used data with a less-expensive type of storage medium. So there is strong demand. And could we get an uptick? There is that possibility, and the reception by customers and analysts has been extremely strong.
Nabil Elsheshai - Pacific Crest Securities, Inc.: And for that version of it, do you see -- when you look at the pipeline, since it's so new is it more customers looking to migrate their existing or to -- you have to do floor sweeps so that they have a solid state drive configuration or is it new customers and new opportunities that are grabbing it?
Michael Koehler: It's both. But in case of a new customer that's starting off into an integrated data warehouse-type of environment with a meaningful number of users’ applications and so forth, it's a no-brainer, because the cost performance of it surpasses everything in the industry, including ourselves. In the user base, it does create some interest because most of our users -- well, all of our users are on one type of storage medium, either all solid state or, in the vast majority, all conventional storage. The other thing is the software that automatically places data, that is Teradata virtual storage, and that is a key piece that we have that no one else in the market has.
Darryl McDonald: The other thing, Nabil, that's unique on this platform and this software is that, the environments are very dynamic. So if you think about analytics, new data, new users, new applications, it's constantly changing. And so the ability to automate that brings a lot of efficiency to organizations, they don't need as many people but yet they’re constantly tuning their environment for performance, which allows them to get more performance at a lower cost.
Operator: Our next question comes from Bhavan Suri from William Blair & Company.
Bhavan Suri - William Blair & Company L.L.C.: Just a couple of follow-ups on Nabil's question there. If an existing customer is looking at the 6680, is that -- can you add that on to the existing system? Or would that typically require a floor sweep?
Darryl McDonald: Yes, with the new platform, it will require them to look at going with the new platform going forward and then coexist with future generations of the 6000.
Bhavan Suri - William Blair & Company L.L.C.: But it wouldn't it back -- integrate with the 5500 series?
Darryl McDonald: No.
Michael Koehler: That's a good question because we do coexistence across our whole EDW family. And this one is such a game-changer and unique in its technology. We'll continue to offer the conventional, all-conventional storage platform so our customers can continue coexisting and building out their EDWs without a floor sweep but you're correct, to take advantage of this technology, it's a floor sweep.
Darryl McDonald: Yes, the 5000 is still available for customers who want to continue to grow that footprint.
Bhavan Suri - William Blair & Company L.L.C.: Sure, sure. And on a competitive front, have you heard much or -- have you ran into the Hana appliance from SAP? And sort of how does that play in with this concept of BW on Teradata when SAP is thinking of sort of a data warehouse appliance too?
Darryl McDonald: Yes, we do see Hana in the marketplace, working with SAP and their customers. We think that it's a perfect add-on or addition to the ecosystem. So we think that there's a place for the EDW. We think there's a place for BW, and we think there's a place for where Hana plays in the enterprise. So as we consult with customers, we position it for the right technology, for the right business and technology solution that the customer should drive.
Bhavan Suri - William Blair & Company L.L.C.: And then just one last one from me. Any concerns about the LSI acquisition and potential pricing changing on that front? Or do you have sort of contracts in place that would manage that?
Michael Koehler: We don't have any concerns at all, and NetApps will be a great partner with us just like LSI was.
Operator: Our next question comes from Matt Summerville from KeyBanc.
Matt Summerville - KeyBanc Capital Markets Inc.: Just a question on Teradata and Aprimo. Could you guys talk a little bit about in the quarter the deal flow you saw there? And Mike, you talked about it a little bit in your prepared remarks, how much of that right now is coming from kind of the core Aprimo funnel versus build-out of that funnel as a result of now being under the Teradata umbrella? I guess I'm trying to get an early read on 4 months into the deal or so, the kind of success you're having in driving that funnel, now that it's part of the organization.
Michael Koehler: Most activity is coming from the Aprimo funnel, pre-Teradata, and we're very cognizant to keep that flow going. And Aprimo will continue to build that. What we're very encouraged about is the amount of additional activity and wins we've had with Aprimo into the user -- Teradata user base. And I called out a couple of those that we could name by name in the prepared remarks. So overall, working exceptionally well there.
Matt Summerville - KeyBanc Capital Markets Inc.: And then, Steve, on a non-GAAP basis, I think originally you were a little bit hesitant to give more specifics on anticipated accretion from Aprimo in 2011. Now that that's closed, is there any sort of more detailed number you can give us on that?
Stephen Scheppmann: No, Matt. We basically -- as I said, when we -- a couple of months ago, basically breakeven, slightly accretive in 2012. We just basically incorporated that right into the guidance range. There's really not much movement that it's still basically breakeven on a non-GAAP basis that we built into the guidance that we gave at $2.13 to $2.23. We basically raised the guidance $0.06 in theory, and minus a $0.03 dilution, estimated dilution from Aster Data, so the net increase was $0.03 to incorporate that into our guidance. So Aprimo is still basically tracking at where we thought it would be with our acquisition model it was being basically breakeven on non-GAAP.
Operator: Our next question comes from Ed Maguire from CLSA.
Edward Maguire - Credit Agricole Securities (USA) Inc.: I had a couple of questions. On the region, it seems like Europe really is rebounding pretty healthy, but Asia continues to lag. And I know you mentioned that Japan was not a big issue in the quarter, but could you comment more broadly in terms of your sense of tone of business in both of those regions? And where you also see potential for Aprimo and Aster outside of the U.S.?
Michael Koehler: On the core Teradata Data Warehouse business, Ed, over the years we've seen a little bit of lag in market adoption outside the U.S. as it relates to Integrated Data Warehousing or Enterprise Data Warehousing and so forth. And sometimes international tends to trail the U.S. And we're seeing very strong pickup in EMEA, as you said. And in APJ, we have been lagging. Now in APJ, there's different countries, different sells, different factors. And we have been talking about the softness in Japan as it relates to Teradata the past year or so. And we were encouraged, Japan grew their business in the first quarter and it looks like they'll be growing in 2011. APJ, overall, we think in constant currency, there's a big currency benefit there. At this point, we think there's a very good opportunity to get up into the higher-single-digits, and we realize that trails the rest of the world, but we're making headway there. Regarding Aprimo and Aster Data, the concentration of their revenues is primarily in the U.S. and that presents a great opportunity for us to expand outside the U.S. and in particular, we have good activity with Aprimo in EMEA, and we've had some nice wins there since the acquisition.
Operator: [Operator Instructions] Our next question is from Brad Reback from Oppenheimer.
Brad Reback - Oppenheimer & Co. Inc.: So, Mike, as you talked about sort of the acceleration demand out there in this explosion of new data sources, et cetera. Could you maybe help us understand why you're not hiring more sales teams?
Michael Koehler: We're hiring, Brad, a rate of – we’ll hire, at a minimum, 30 more teams this year, put in place, at a minimum, 30 more teams this year. We do have the opportunity to add more. You can see the uptick in our SG&A in the first quarter. It's basically all selling expense. We are trying to balance a little bit what the operating income yield is on the revenue growth that we're experiencing, and it's worthy of consideration. I think it's a fair question, and it's something we're always looking at.
Brad Reback - Oppenheimer & Co. Inc.: Great. And then just one follow-up on this big deal that you're working on, the 1000 series in the quarter, could you give us any sense of how that customer intends to use the product?
Michael Koehler: They'll be using it with big data so...
Darryl McDonald: Yes, it's a big data project. And I think as Mike talked about some of the areas that we’re seeing in the consulting side is we're seeing more and more customers experimenting with big data in their enterprises, how to leverage that immediately and also long-term in their initiatives. So it's centered around that type of a project.
Michael Koehler: If I can add Brad, this is a large Enterprise Data Warehouse customer. It's really why we're starting to refer more and more to an integrated data warehouse, because not everything in the enterprise belongs being in integrated. So this is data that's specific to a certain limited number of users. It's not valid across the entire organization. And basically, it's a several petabyte data mart that's dealing with big data analytics. And we see good -- great market opportunity for this. It's our -- what we call our Extreme Data Appliance.
Brad Reback - Oppenheimer & Co. Inc.: Does this deal include Aster as well? Or is there an opportunity to pull Aster through?
Michael Koehler: This does not deal with Aster. Aster gets at working directly with Hadoop.
Darryl McDonald: Yes, there's -- I mean in the future, there might be an opportunity to leverage it, but right now, this is a Teradata solution that we've been working on prior to the Aster acquisition.
Michael Koehler: Okay, that concludes -- I'd like to thank everyone for joining the call today. We're off to a very strong start in 2011. And I think more importantly, we feel very good about the foundations we've laid for future revenue growth, and not just about 2011, but looking at the opportunity for Teradata longer-term. So thanks everyone. We look forward to talking to you again next quarter. Have a good day.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.